Operator: Ladies and gentlemen, thank you for standing by, and welcome to the GoDaddy First Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mark Grant, Vice President of Investor Relations. Thank you. Please go ahead, sir.
Mark Grant: Good afternoon and thank you for joining us for Godaddy's first quarter 2020. With me today are Aman Bhutani, Chief Executive Officer; and Ray Winborne, Chief Financial Officer. Aman and Ray will share some prepared remarks, and then we'll open up the call for your questions. On today's call, we'll be referencing both GAAP and non-GAAP financial results and operating metrics such as total bookings, un-levered free cash flow, normalized EBITDA and net debt. A discussion of why we use non-GAAP financial measures and reconciliations of our non-GAAP financial measures to their GAAP equivalents maybe found in the presentation posted to our Investor Relations website at investors.godaddy.net or on our Form 8-K filed with the SEC with today's earnings release. The matters we'll be discussing today include forward-looking statements, which include those related to our future financial results; new product introductions and innovations; our ability to integrate recent acquisitions and proposed acquisitions and achieve desired synergies, including our recent acquisition of Over, our recent acquisition Uniregistry's domain registrar and marketplace businesses and the expected acquisition of Neustar's registry business and the impact of COVID-19 pandemic on our business, customers and employees. These forward-looking statements are subject to risks and uncertainties that are discussed in detail in our documents filed with the SEC. Actual results may differ materially from those contained in the forward-looking statements. Any forward-looking statements that we make on this call are based on assumptions as of today, May 6, 2020, and we undertake no obligation to update these statements as a result of new information or future events unless required by law.  With that, here's Aman.
Aman Bhutani: Thank you for joining us today and thanks again to those who joined us for our Investor Day in April. While it has only been one month since we spoke to you, we have several important updates to share today. Plus, in Q1, we delivered strong financial results which included the early impact of COVID-19 as expected changes in consumer behavior rippled across the globe along the COVID-19 arc, with the last two weeks in March being the toughest in the U.S. as everyone focused on safety first. Second, there are definitive proof points that we are creating significant value for our customers. We are seeing an uptick in customer demand as new customers are exploring how to build the website and everyday entrepreneurs in fashion, beauty, health, professional services and many other verticals are forging ahead with new ideas. Those with the website are expanding the online scope of existing ventures, adding commerce and payment features, creating digital content and downloads, adding virtual classes, appointment scheduling and much more. Third, I'm excited to share more on OpenWeStand. What started as an idea about a month ago has become a movement with over 50 partners and over 50 million views on YouTube. It is a testament of the extraordinary power of our community and the distinctive powerful and differentiated reach of our brand. The true heroes in this movement are the everyday entrepreneurs who are finding a virtual way to be open even when their physical doors are closed, making OpenWeStand a reality. And fourth, as we look into Q2, our core business continues to be resilient, with renewal rates edging up year-over-year. Predicting the balance of the pressure on small and medium sized businesses on one hand and human creativity driving new digital demand on the other is pretty hard. For example, in Germany and Italy, where the pandemic seems to have been restrained, we have seen growth customer adds accelerate to 80% year-over-year growth, albeit of a relatively smaller base. Additionally, while we have some headwind in care and services and through disciplined execution we have improved them on a weekly basis for some teams being back in the office environment remains a key part of getting back to peak performance. In his comments Ray will go through what all of this means for Q2 guidance. Let's dig into creating value for everyday entrepreneurs. GoDaddy is a customer-led software company, built on the foundational idea that creating value for our customers is the best way to create value for our shareholders. Helping our customers on the journey from green to create and grow remains a key driver of engagement and TAM expansion. As customer needs shifted over the past few weeks, accelerating our pace of experimentation and innovation enabled us to quickly bring offers to support them. Over the last four weeks, we have started an experiment with a freemium model for websites plus marketing. This is now available to all customers in the U.S. and include product integration with GoFundMe, robust gift card functionality, expanded capabilities with PayPal and much more. In the true spirit of experimentation being customer-led, we also launched a basic messaging capability so our customers are able to connect with their customers. Getting these features out quickly allows us to give early customer feedback and improve them rapidly. For example, you will see us upgrade the messaging capability within days, and that is just one of the two ecosystems we are part of. We also have a new offer available to designers and developers, bringing together manage WordPress and WooCommerce at an attractive limited time price point of $1 for three months, everything they need to get their customers selling online fast. In fact, it's not just websites plus marketing or manage WordPress that we're moving on quickly to improve all our products and engineering teams have reset their roadmaps on the WIN model, meaning what's important now. We have active offers for three-month free trial of our digital marketing suite and overthrow and 30-day free trials of celebrates multiplatform e-commerce marketplace solution. And the results install of the over app jumped 24% month-over-month in March and Sellbrite saw a 20% month-over-month increase in connections to online marketplaces. The opportunity to introduce our products to customers when they need them most in a manner that is easy for them create immediate customer value and will lead to shareholder value over time. And we want to extend our ability to experiment to innovate and give customers more choices at competitive price points. One of the key tools in our toolbox is the ability to deploy capital, and in early April, we announced the acquisition of the registry business from Neustar, which will be known as GoDaddy Registry. While the acquisition will have only a small financial impact this year, we believe there is significant strategic importance here. We have demonstrated in our roughly 20 years as a registrar that we can innovate and dramatically increase the value we offer to customers. We plan to bring the same innovative rigor to the registry business. Vertical integration reduces the many complexities of building innovative end-to-end offerings for customers at competitive price points. We have experience creating value for everyone in the industry. Just look at the domain aftermarket. Over the nearly seven years since Afternic became part of GoDaddy, almost every major registrar leverages our Afternic platform for aftermarket domain sales, creating greater choice and value for customers and creating greater value for our partners. We look forward to closing the acquisition in the coming months, and welcoming the team to the GoDaddy family. Equally important is the guidance we provide to our customers which has been part of our ethos at GoDaddy since the beginning. It is our killer app. It is a competitive advantage. In these unprecedented times, entrepreneurs need guidance and we are committed to being there for them.  When we took 7,500 Guides home several weeks ago, we focused first on their safety and then moved quickly and creatively to guide customers effectively. And I am happy to share that our average speed answer has been exceptional. Customers are surprised and delighted that we would call them just to offer help, and they have shared positive recognition for our guide across many calls. Anecdotally, I have received a greater number of messages directly from customers, thanking us for being there to help them in this difficult period. This is why we exist. This is what our brand is about. The GoDaddy brand is a remarkable asset, and there has never been a better expression of it than OpenWeStand. Let me take a moment to share its origin. About a month ago, we saw a gap in the way small businesses could find and take advantage of the many offers available to them. The offers were not in a central location that made it easy for entrepreneurs to find them. OpenWeStand solve both these problems and has grown beyond our wildest expectations, in an amazing display of the exponential power of our community what I thought would be 2020 hindsight has become 50/50. I thought 20 partners and 20 million views would have been an amazing achievement. But here we are more than 50 partners and over 50 million views on YouTube and thousands of activations by small business owners. That is a movement and the momentum continues. The movement started with a 60-second film to communicate our desire to help businesses stay open, even when their doors are closed. We invest in media to communicate this message and directed all traffic to OpenWeStand.org. This site now stands as a repository for us and our partners to provide offers, help and advice, where partners can edit their own content and small business owners can find the help they need. As traffic to the site continues to grow, we are posting more offers and content, as well as enhancing filtering capabilities making it easier to navigate. The need for these resources is great. As an example we did our first webinar last week with expectations of 300 attendees. It tremendously exceeded our expectations with 5,000 sign-up and over 1,000 attendees. It has been humbling and inspiring to see the response from the community, and we will continue to put muscle and marketing dollars behind OpenWeStand, providing valuable offers to our community in a central location. Before I wrap up, I want to tell you about Liv, one of our remarkable everyday entrepreneurs. She started Box and Flow in New York of boxing and yoga studio. If you talk to her, she will tell you that she really believes in this idea of balance and combining strength and softness as a way of life. When the pandemic hit, she left her studio in New York and temporarily moved to Florida to be near family. But the entrepreneurial spirit in her didn't stop. She was comfortable taking risks, though she continued to try and experiment. She started teaching classes on Instagram and last week offered all her classes online. She is not only teaching her regulars in New York, she now has regulars from Malaysia to Barcelona. Liv is not just trying to survive. She figured out how to make her dream bigger, and she demonstrates the spirit and drive we are here to serve. And in these times where so many parts of our lives have transitioned to a digital experience, we are seeing the best of human creativity. We believe human creativity will drive many variations of online businesses, and we are fortunate to be a global leader serving this massive market of everyday entrepreneurs like Liv. In the current COVID driven climate, GoDaddy's distinctive financial profile with profitable growth at scale stands out. We have the capability to invest capital aggressively and an experienced management team that can make sure we do that with prudence and as good stewards of both the P&L and the balance sheet. We know that short-term everyday entrepreneurs like Liv may have some setbacks, but we know that their beliefs and spirit will not be deterred. I believe in Liv and millions of other everyday entrepreneurs just like her keeps us confident that we will deliver on our 411 target, $4 billion in revenue and $1.1 billion un-levered free cash flow organically by 2020.  With that, here is Ray.
Ray Winborne: Thanks, Aman. I'll touch on the financial results for the quarter and the outlook for Q2, along with some additional commentary on the impacts of COVID-19 to our business, and finally, the contribution we expect from Neustar's registry. Q1 reflected good top line performance and strong operating leverage in the business. Despite some softness in the last few weeks of the quarter, initial impacts of shelter-in-place began to materialize. Revenue came in at $792 million, growing over 12% on a constant currency basis, with 80 basis points of currency.  Looking at product categories, we delivered double-digit growth in domains on higher average selling price. Growth in hosting and presence accelerated, higher subscriptions to Websites + Marketing and our managed WordPress offering. And while business applications grew 14% year-over-year, growth rate was reduced by roughly 4% point due to the cancellation of CloudFest, our annual hosting industry conference response to COVID-19. By geography the U.S. grew 14% versus last year. Our international revenue was $260 million in Q1, growing 9% year-over-year on a constant currency basis. The international revenue growth rate was reduced by approximately two percentage points due to the cancellation of CloudFest.  Total bookings grew to $951 million, rising 10% on a constant currency basis with an estimated two points of pressure from the effects of COVID-19, roughly a point of currency headwind. The US dollar has continued to strengthen against the basket of currencies we collect, and we expect currency to remain a headwind in Q2. Gross margin was 65% in the quarter in line with the trailing 12-month average. We delivered solid operating leverage this quarter, particularly in the care and G&A line items, as we continue to scale the business. This resulted in normalized EBITDA of $164 million in Q1, a three points of margin expansion last year. Moving to cash flow. Un-levered free cash flow for the quarter was $235 million, growing 18% year-over-year. This quarter benefited from the timing of CapEx payment. We expect to balance out in the first half of 2020. Trailing 12-month un-levered free cash flow was over three quarters of a billion dollars and margin top 25%, illustrating the size and scale of this business. On the balance sheet, we finished Q1 with $851 million in cash and total liquidity of nearly $1.5 billion. Net debt landed at $1.6 billion or about two-times net leverage on a trailing 12-month basis. And we have no significant debt maturities until 2024. This affords us both a margin of safety in uncertain times, but also the opportunity to invest both organically and inorganically. Since our last earnings call, we deployed over $0.5 billion in capital, repurchasing 10 million shares of our common stock an average price of just over $54 per share. Very attractive valuation from a forward free cash flow year. This repurchase represents nearly 6% of our fully diluted shares outstanding. We also announced the acquisition of Neustar's registry business, with the purchase price of $218 million, with closing expected in the coming months. We will fund the acquisition from cash on the balance sheet. And based on the information obtained in diligence, we estimate the 2020 financial contribution will be less than a point to revenue growth and less than $10 million to un-levered free cash flow. Stepping back, GoDaddy has a recurring revenue business model, is highly cash generative as well capitalized with a strong liquidity position, providing the ability to both weather storms and take advantage of opportunity. Against this backdrop, you'll continue to see us be thoughtful stewards of capital, with the ultimate goal of prudently driving attractive growth un-levered free cash flow for [technical difficulty]. With that, let's turn to the outlook for Q2. Including the estimated $25 million to $30 million impact of COVID-19 that we outlined at Investor Day, we expect total revenue of approximately $790 million or 7% year-over-year growth. We expect total bookings growth to be roughly in line with revenue growth for the quarter. We will continue to provide quarterly updates to guidance as we navigate our way through the current environment. To reiterate what we called out last month, these are unprecedented time, but the degree of uncertainty facing our customers, peers and communities in general, we want to make sure we continue to provide the pattern of transparency we've established. We don't have a crystal ball and while we're seeing resiliency in subscription renewals and strength in new online sales, we have experienced some headwinds in two areas of the business. First, and certain of our higher price do-it-for-you services aftermarket, seeing the natural effect of price consciousness the businesses exhibit in uncertain times. And second, work from home has had a predictable impact on new sales predicted of our Care Guides. While it's improving, we expect that to impact to continue to some degree until we get folks back in the office, whenever it's safe and prudent. As promised, we'll provide a bit more granularity around our quarterly revenue guidance going forward. Q2, we would expect high single digit growth in domains, mid single digit growth in hosting and presence and mid-teens growth in business application. Do-it-for-you services like social reputation management and professional website build disproportionately impact the hosting and presence line. Finally, while COVID-19 has created a significant upheaval in the global economy and job markets, it has led to an uptick in interest to start new venture. You should expect us to lean in on marketing spend, attractive customer offers drive share that increased demand. In closing, we have a distinctive value proposition that combines our brand, seamlessly intuitive experiences, power of community and sage guidance, uniquely serve our customers, help them continue their business while minimizing complaints, huge opportunity in serving the needs of the everyday entrepreneur. And we're proud to deliver on the promise of partnership that our customers in these challenging times. With that operator, let's open up the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Yigal Iranian from Wedbush. Please go ahead. Your line is open.
Yigal Iranian: Hey, guys. Thanks for the question. Two, if I could. So, let's see here a little bit more about the Neustar Registry acquisition, the strategic importance of that, how verticalization helps that segment over time, especially given that there's some sensitivities around favoring GoDaddy products. So, that's the first one. And then maybe if you could give both on the revenue impacts from the free trials and the freemium website offer that you're giving customers, if you could help quantify the impact there? And then also if you could help quantify the impact of bringing new customers onboard and keeping the retention rate up, how those free trials are impacting growth. Thanks. 
Aman Bhutani: Hey, Yigal. It’s Aman. Thank you for your question. Unfortunately, the tech issue and we didn't catch the first part of your question, only the second part. Would you mind just repeating the question for us.
Yigal Iranian: Sure. So, the first part was just on the Neustar Registry acquisition. If you could help, maybe give a little bit more color around the strategic importance of it. Why verticalization is important. How that could help the domain business grow over time, especially given that there's some sensitivities around not favoring GoDaddy products when you're in the funnel for that. That was the first question..
Aman Bhutani: Yeah. Thank you. Let me take the first piece of that and Andrew can talk to the governance pieces and sort of creating opportunity across the industry. If we take a step back and look at the dream phase for the customer, we've continued to be a leader in that space, with our domains product and we've been in many parts of the domain business. We mentioned the aftermarket as an example of something recent that we did that went across the industry. But if you look at the registry business, that's the business we have not been in the past. And if you think about creating just new different kinds of offering -- this very innovative different ways to think about domains as competitive price points to go across organizations involves a certain level of risk and just challenges to coordinate all of that. With vertical integration, we can experiment at a much faster pace. We can sort of wave all of those things and say we want to test this, let's get this in front of customers and let's see how it works. And while we do that, we can do it in a manner where it's open to the whole industry where the line of governance is clear. And just like the aftermarket value is created not just for the customer, but for everyone in the industry that participates as well. And Andrew, do you want to add a bit to it. 
Andrew Low Ah Kee: I think to Aman's point this idea that we innovate and we bring value across the entire industry is something we've got a track record with today in our aftermarket business on our Afternic platform. We actually partner with virtually every major registrar in the industry and that's created a ton of value for all of the participants, and we look forward to doing the same with our registry business. We do have a clear governance model in place that create separation between these businesses to address concerns folks might have, and we're confident in our ability to implement that. There are a number of vertically integrated registrar registries in the industry today. They're able to stand by that commitment to offer equal access to everyone and we feel very comfortable with our ability to do it as well.
Aman Bhutani: And then on the question on premium, it's pretty recent. We moved quickly to put it out there. It started as an experiment. We did roll it out to all customers in the U.S., but it's still very, very early and we designed it as an experiment. So, we're tracking a lot of data around it. And over the next few months, we'll be able to tell you a lot more about it. But it's still pretty early, yeah.
Yigal Iranian: Thank you. Thanks so much
Aman Bhutani: Thank you.
Operator: And our next question comes from the line of Deepak Mathivanan of Barclays. Please go ahead. Your line is open
Unidentified Analyst: Hey, this is Thomas on for Deepak. With the free cash flow guidance withdrawn, can you help us with how we should think about the underlying variables here? Are there any changes in the contract term or product mix during this time that we -- that might weigh on free cash flow? Thank you.
Ray Winborne: Yeah, Thomas. Hey, it's Ray. The bookings growth, I think, is where you should look. I mentioned in my prepared comments that we expected to grow roughly in line with revenue. Bookings translates to cash. And then the other thing that I pointed out is that we had timing impacts of capital payments from Q1 to Q2, so be looking at. But stepping back more broadly when you look at what's going on, Aman has talked about before, we're looking at the financial certainty for our employees, we're putting out attractive offers for our customers. So, those are going to pressure cash flow, but obviously there are a lot of discretionary expenses that we're managing very tightly to mitigate the impact of that.
Unidentified Analyst: Thank you.
Operator: And our next question comes from the line of Mark Zgutowicz of Rosenblatt Securities. Please go ahead. Your line is open.
Mark Zgutowicz: Thanks much. Just curious on the customer acquisition front, you are thinking about LTV here and going. I guess, pressing the pedal down a bit as you mentioned. Just curious how you think about returns longer term, I assume most of who you're acquiring today are either out of work or potentially furloughed for a period of time. So, I'm just curious how you're considering that and when you look at potentially converging here down the road. Thanks.
Andrew Low Ah Kee: Hey, Mark, it’s Andrew Low Ah Kee here. I'm happy to talk to that one. We're definitely seeing an increase digitization of small business, the everyday entrepreneurs who maybe weren't online, didn't have a presence or even had one and needed to get it refreshed in an environment where everyone is finding and discovering things online is absolutely a tailwind for the sector at large. And so we are leaning in with our marketing spend. Aman in his prepared remarks referenced OpenWeStand. That's an important thing for our customers. It's an important thing for our brand. And equally, it has the same return profile that we typically would be looking at. In fact, when we look at our April cohort, our April cohort is the strongest we've ever had for in April. And so, we're absolutely seeing that demand come to bear in the marketplace.
Mark Zgutowicz: Okay. Thanks much.
Operator: Your next question comes from the line of Brent Thill of Jefferies. Please go ahead. Your line is open thanks.
Brent Thill: Thanks. On business apps, it was a little light of where the Street was modeling and some of the explainable late in the quarter. But I'm just curious if you saw that rebounding in April and into May, that the move to doing more with you than just buying one piece of the solution?
Ray Winborne: Hey, Brent. It’s Ray. There was one item that really drove a lot of that desale that you saw in the biz apps line and that's our CloudFest event. It's an annual event for the hosting industry and that created four point headwind on the growth rate there. Beyond that biz apps actually landed exactly where we had guided to earlier and right within our expectations.
Brent Thill: And Ray, any color April through May listen to a number of these earnings calls you saw stabilization and improvement, are you seeing that follow-through through April into May.
Ray Winborne: Yeah, I think, Aman highlighted a lot of what we're seeing in his prepared comments. We are seeing green shoots. I mean, if you look at -- renewal rates are absolutely holding steady. We're seeing good growth in new online sales. It's the couple of areas we pointed out before at the Investor Day where we're still seeing challenges and watching. One was around our Care Guides being at home and productivity sales hit. And then our higher price point products, which are generally the do-it-for-you products.
Brent Thill: Thank you.
Operator: And our next question comes from the line of Mark Mahaney of RBC. Please go ahead. Your line is open.
Mark Mahaney: Okay. Thanks. I'm sorry I'm going to ask a question, I may have missed some of the first part of the call. One of those issues that you just mentioned, Ray, that Care Guides efficiency. Did you -- did you already say whether you've seen some recovery in that? I understand the efficiencies that it's created from kind of taking people away from the -- whatever the synergies of a centralized place. Is it clear to you that there's a path back, or is that just going to be the case until people are able to get back in work in their shared centers.
Ray Winborne: Yeah. Hey, Mark. Thanks for the question. And obviously, when we first went home, that was the greatest impact. While they were adjusting to the new environment, we really did see a pretty significant drop. We've been seeing continual improvement since then in the productivity, but there is a gap, right? These guys have been working out of offices in high energy sales environments for most of their careers and we're not going to get to that level of productivity, be working from home with those groups. So, I think, as far as where we are today and early May, we've seen a pretty significant improvement in the productivity of those Guides. Probably seeing what we're going to see until we're going to back in the office at this point.
Mark Mahaney: Could you just remind us please where are those basic customer care centers, where are they located geographically? And in those areas what are the -- what's there -- what's the visibility and to when offices will be reopened?
Ray Winborne: We're watching the local regulations and health announcements around the world. The vast majority of our Guides or a large majority of our Guides are based in Arizona and Iowa. But beyond that India is probably the next biggest that we've got. So we're watching each one of those locations will be treated differently based on the local conditions.
Aman Bhutani: And Mark, this is Aman. We're actually in touch with local offices on a daily basis to see how the situation is developing for that city for the area around our office. And we're listening to politicians, we're listening to scientists. We also have our own criteria of one when we can take people back and we'll take a prudent approach to that. And we'll put some people in and experiment and have the proper office distancing and sort of make our way back as things improve.
Mark Mahaney: And I'm sorry if I could throw in one other question. Andrew, you'd mentioned something about the big -- the April being a very strong month in terms of new customer acquisitions. I think, this is one of those hard questions to answer, because there's so early on. But can you tell whether that cohort -- April cohort, I know it's very early -- very recent. Is acting any different than cohorts you brought in, in the past. More engaged less engaged, any way to tell?
Andrew Low Ah Kee: It's early to be talking about that. The reality is we're seeing very strong demand for our presence products. We shared with folks obviously the strength that we're seeing in the create space whether Websites + Marketing or WordPress with you all at Investor Day and those are areas we're seeing continued goodness in, in April, but it's early.
Mark Mahaney: Okay. Thank you very much.
Operator: Our next question comes from the line of Naved Khan of SunTrust. Please go ahead. Your line is open.
Nate Mitchell: Thanks. This is that Nate Mitchell on for Naved. Aman, thank you for the color on Germany. One, I was wondering if you could maybe speak to the growth in customer adds across geos in April. And then two, wondering if you can help us -- how to think about -- how big of an on-ramp the freemium offering and Website + Marketing can be for you guys. Thanks.
Aman Bhutani: Yeah, thank you Nate for the question. We wanted to give you a little bit of color, so we took two markets in Italy and Germany and it's obviously hard for us to comment on each market and growth rates there. But as I said in my prepared remarks, there's an arc of COVID-19 and how it sort of progressed across the world where you saw every market sort of going to some level of lockdown and then sort of open up a little bit. And what we saw with that when there was unknown, right, people seem to clamp down and really worry about a lot of things and focus on safety. And in the U.S. that period seemed to be the last two weeks of March more so than other periods. But that same arc has sort of pretty much repeated itself across the world. And in terms of the on-ramp for freemium, it's just too early to be talking about it. We're super excited to have freemium there. We're super excited that we were able to bring it forward at a time when our customers needed most. But it's just too early to talk about -- just yet.
Nate Mitchell: Great. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Lloyd Walmsley of Deutsche Bank. Please go ahead. Your line is open.
Lloyd Walmsley: Thanks. Just wanted to ask about M&A and wondering if you're seeing anything in the current environment, maybe that starts to look more interesting, particularly given the use of leverage in the space privately. And then, I guess, related to that, is the current environment change at all? How you guys think about leverage and what you'd be willing or possible to take on as part of any M&A. Thanks.
Aman Bhutani: Now let me take …
Ray Winborne: Hey, Lloyd. It’s Ray. I'll start and Aman can come over to talk. You look at our leverage today, we've got a target range of two to four times. We're right at the bottom of that range today, so feel comfortable. Obviously, given the uncertainty of COVID and how long it's going to go on, what the depth is going to be, we're obviously focused on liquidity like others. And we'll provide any specific comments around the pipeline on M&A right now.
Aman Bhutani: Yeah, I think, Ray covered. You've seen us have been quite active over the last few months. And we have a pipeline, as we've said previously and we don't comment on any specific company which may or may not be part of our pipeline.
Lloyd Walmsley: Okay. Thank you.
Operator: Our next question comes from the line of Mark Zgutowicz of Rosenblatt Securities. Please go ahead your line is open.
Mark Zgutowicz: Thanks. I just had a follow-up on the Guides productivity question. I guess, the flip side of that question, when they are back in office, what do you expect to see in terms of lift and where would we see that? And then separate question on WooCommerce. Just curious what your long-term -- your near-term, long-term objectives are there. And so what we should expect for future, I guess, discussion on progress there. Thanks.
Andrew Low Ah Kee: Sure. As both come back in the office, it's going to be a ramp as we get people back into the game. It is not like overnight. We're going to flip a switch and 7,300 Guides are going to be sitting back in the office. So, it's going to be a slow and long ramp as we get folks back into the office. And then in terms of how they perform, we think there will be an improvement. Again, as Ray mentioned, folks have built up a system over many years that that drive sales engagement. That said, I think, the unknown will be customer demand on the other side, and how customers behave particularly for those higher priced offers. That's a question, Mark, that we yet to see.
Aman Bhutani: And then maybe just touch on the WooCommerce point. We have a great position in the WordPress ecosystem, the WooCommerce product. And we have a tremendous partnership with automatic as well there. So, we have a great offer in the market. Now, I mentioned that in my prepared remarks and our customers are loving it. So, we continue to like the offer we have there and continue to love customers coming to us with their WordPress and WooCommerce needs.
Operator: And there are no further questions at this time. I will turn the call back over to Aman Bhutani.
Aman Bhutani: Thank you. I'll just say a quick thank you to all the employees across GoDaddy globally. A tremendous amount of work has gone in over the last few weeks that have been challenging to say the least. But while all of us focused on supporting each other every person at GoDaddy has worked hard to support our customers and for that I'm truly grateful. Now, thanks for joining our call today and we'll see you next time.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.